Operator: Welcome to the SAIC second quarter fiscal 2009 earnings conference call. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Stuart Davis, Senior Vice President of Investor and Employee Owner Relations.
Stuart Davis: Here today are Kenneth Dahlberg, our Chairman and CEO and Mark Sopp, our CFO. Lawrence Prior, our COO, is on a well-deserved vacation and will be back with us for the December call. During this call we will make forward-looking statements to assist you in understanding the company and our expectations about its future financial and operating performance. These statements are subject to a number of risks that could cause actual events to differ materially and I refer you to our SEC filings for a discussion of these risks. In addition the statements made represent our views as of today. We anticipate that subsequent events and developments will cause our views to change. We may elect to update the forward-looking statements at some point in the future but we specifically disclaim any obligation to do so. With that I’ll turn the call over to Ken.
Kenneth C. Dahlberg: Our efforts to drive top-line organic growth and improved margins and cash flow resulted in another strong quarter of execution in our core business. Internal revenue growth for the quarter was, again, above our long-term financial goals. Contract performance was strong and cash collections increased handsomely. We also enjoyed another strong quarter on the business development front. Now halfway through the year, we are increasingly confident of achieving our financial goals for the fiscal year 2009 and we have begun to build a very solid base for fiscal year 2010. With respect to the government funding environment, the President signed a supplemental appropriations bill which fully funds the war-time expense for the current fiscal year and also provided bridge funding into the spring of 2009. Although the June passage was somewhat delayed, we say little, if any, evidence of our customer’s holding back funding. As evidenced by our strong revenue and bookings in the quarter, there are some indications that Congress will try to pass the government fiscal year 2009 Defense Appropriation Bill in September as a stand-along bill. Even if the defense bill is not passed, given the progress to date, it is likely that any continuing resolution would reference not last year’s levels, but the latest versions of the defense bills as marked in the House and Senate so that important programs can be funded immediately. The other appropriation bill that has a shot at passing is the Military Construction and VA Bill. For the rest of government, we will almost certainly begin the year with a continuing resolution and it is unlikely that any new, non-defense appropriation bills would be enacted before the March or April 2009 time frame. Whatever the scenario, our fiscal year financial outlook is intact. On top of many investors’ minds is the Presidential election, including me. Although the two candidates will surely have different priorities, we do not have different growth expectations depending on the candidate. We expect that neither will dramatically shrink defense spending and that both will increase spending on cyber and home land security, energy and the environment, and veterans’ help. Similarly, we expect both candidates to scrutinize large programs but it is unlikely that any major changes will be made until the government fiscal year 2011. Now on to new business. As I mentioned earlier, business development continued its upward momentum, especially in our defense and intelligence areas. New business bookings were $3.3 billion for a book-to-bill ratio of about 1.3, which puts us ahead of our target pace for the year and well ahead of last year. Key wins for the quarter involved the $450.0 million AITS award for the Army National Guard, which is completely new business; a $300.0 million intelligence program; and several design-and-build jobs that again demonstrate the synergies of the recent Benham acquisition. Also the sale of five VACIS units to Dubai Customs demonstrates market acceptance of our latest product line, which integrates the high-energy x-ray inspection and the next generation of radiation detection into a small, self-contained portal requiring no additional shielding or exclusion zone. Based on the strength of these wins, backlog at the end of the second quarter was up to $15.9 billion, up 13% from Q2 of last year. Funded backlog was $5.4 billion, up 20% year-over-year, again consistent with the strong funding environment. Again, to reiterate, as we have done in previous calls, the backlog does not include any value for anticipated task orders on IDIQ contracts. In the second quarter we won IDIQ vehicles with an expected value of over $1.4 billion, including our estimated portion of the $12.0 billion Encore II award, the re-compete of our large, guardian force protection program, and a new program with the Space and Naval Warfare Systems Center, Charleston, that will partially replace the EnRAP Integration work as it winds down later this year. We continue to see great opportunities ahead. Our pipeline continues to build, especially in the exciting areas for us such as cyber security and inspection and detection systems. For example, we expect decisions on about 90 VACIS units over the next three months. While too early to tell, we certainly have the opportunity to post another strong bookings’ result in the third quarter, given the magnitude of our outstanding proposals and pipeline. We have already announced that we won a $400.0 million IT support program for the Army and a $7.0 billion F2AST IDIQ with the Air Force. In addition, we won $170.0 million classified cyber-security program that positions us well in this fast growing market. Our submitted proposals awaiting adjudication at the end of the second quarter were well over $14.0 billion, including 29 opportunities north of $100.0 million. Needless to say, our proposal tanks are full. We expect to have submitted another 30+ proposals greater than $100.0 million by the end of October. So with that, our federal business continues to be very robust. Our commercial business was up sequentially but down slightly year-over-year and its margins rebounded nicely as we took cost reduction steps to balance the infrastructure with the pace of the business. We expect commercial segment margins to be consistent with the government business for the rest of the year. In the important employee recruiting and retention, this whole area continues to improve. For the third straight quarter involuntary attrition was down and hiring was up from the comparable period last year. Our employee engagement efforts are certainly bearing fruit. Voluntary attrition is now running about 13%, which is very good for our industry especially considering our large footprint in the intelligence and our large population in the D.C. metro area. We are taking a number of steps to ensure the long-term health of the business, many of them under the rubric of Project Alignment. With Project Alignment we will improve the quality and effectiveness of the transactional elements of human resources, finance, and information technology to create a more productive work environment and to free savings to invest in our people and our businesses. We recently set up our new shared service center at our existing facility in Oakridge, Tennessee, and are in the process of moving our human resources records management, corporate purchasing, and accounts payable activities to that site over the next few months. We also moved some of our corporate IT functions to line organizations where we believe they can better leverage technologies and be more efficient. We are also now taking a hard look at our real estate. Currently we have too many small locations and space utilization is not efficient in many of the locations. We are reviewing all of our key locations to determine where best to conduct our business. Our Virginia Beach property is currently for sale and we plan to sell or lease our Vienna, Virginia, campus and one building in our San Diego headquarters campus and relocate those people to adjacent facilities. Finally, we did have two issues arise in this quarter in the organizational conflict of interest, or OCI arena. On the first, a jury rendered a verdict in favor of the government finding that we had OCIs that might have impacted our work for the Nuclear Regulatory Commission in the 1990s. We are deeply disappointed by the verdict and we believe there are substantial grounds for an appeal, which we intend to pursue vigorously. It is important to note that the high quality of our work was uncontested. The second issue, which is totally unrelated to the prior issue in substance and separated by nearly 10 years in time; we learned that questions had been raised about our involvement and a request for proposal prepared by the Federal Emergency Management Agency. We launched an internal review and as a result withdrew our proposal and took appropriate employee actions. The financial impact of walking away from this work is miniscule, but we acted decisively and appropriately to demonstrate our conviction to perform in a completely ethical manner. We see the sensitivity around OCI increasing in importance going forward and could become an advantage for our company. We believe that the government will take OCIs much more seriously which means that some of the firewall strategies that companies have employed to do both oversight and analysis work on the one hand and development work on the other had will no longer work. Our platform independence should be an increasing advantage going forward. The company is taking a proactive approach to this issue so that we can limit legal risks and make the right strategic decisions for what pieces of work to bid. With that overview, I will turn over to Mark for the financial details.
Mark W. Sopp: On balance, we had a solid quarter financially. We have continued our momentum in the market place, posting double-digit internal revenue growth for the second straight quarter and also securing bookings well over $3.0 billion to drive future revenue growth. We had some special charges in the quarter which diluted profitability but the strength in our underlying core operations gives us confidence that we can recover and still hit our operating margin improvement goal of 20 basis points to 30 basis points for the full year. As we set out to do, we generated over $200 million of operating cash flow in the quarter, reflecting strong cash earnings coupled with reduction and days sales outstanding to 66 days. We deployed roughly that same amount by completing one acquisition and through continued stock repurchases. As Ken mentioned, we are operating consistent with our overall business and financial plan and in light of the momentum and visibility we have looking forward over the next six months, we are reaffirming our financial guidance for the year. Before I discuss all the results and our forward outlook, I do want to spend a moment to address the restatement of financial results that we announced a few weeks ago. As a reminder, this corrected an error in the calculation of our gain on the sale of Telcordia in March of 2005, all of which was reported in discontinued operations. First we filed the appropriate restated financial statements last night with the SEC. We will file our second quarter 10-Q later today which will properly reflect the appropriate restated prior-period amounts. Second, let me spend a moment and just cover a few more points on the restatement itself as additional commentary. First, although we recently just discovered the error, the error that caused the restatement regarding the tax gain on the sale of Telcordia originated in fiscal 2005. That’s within the same fiscal year that we previously announced a material weakness in our tax accounting function. We believe the recently discovered error was the result of the same control weaknesses that existed at that time. Many changes were subsequently made to strengthen our controls after that period, most notably new controls and disciplines put in place leading up to our first SAIC’s 404 assertion and ATAF station in fiscal 2007. In making those assertions, it goes without saying that we believe our tax accounting controls have been adequate since then. In consul with the Telcordia adjustment we also adjusted for the classification of some minor business activities that had been reported in our commercial segment and should have been reported in our government segment. After this change, the only business activity within the commercial segment is our commercial IT outsourcing and consulting business unit, which serves oil and gas, utility, life sciences, and state and local government organization. Finally, the restatement displeases us greatly. Nothing is more important to us than producing accurate, timely, consistent, and transparent financial results and related disclosures. We have, and will continue to expend great efforts to meet this imperative because we are accountable to do so and also because we take great pride in doing so. With that stated, let me now add some color on our financial performance for the second fiscal quarter. Revenues, as Ken mentioned, totaled $2.56 billion. That’s a record result for the company, with total growth at 15%, 5% of which was from acquisitions, 10% of the growth was internal. Revenue growth from existing programs continues to be strong. As an example, about a quarter of the 10% was contributed collectively by three of our largest revenue-producing contracts, C Port E with the Navy, Future Combat Systems with the Army, and AMCOM Express, Army and Missile Command Express, all of which have been in our hands for several years. This demonstrates that our largest customers have confidence in us and we can market and deliver some new solutions to them as their needs change. We continue to see strong growth from new contracts as well, as you would expect, from our strong bookings performance all year. Our two EnRAP contracts contributed another quarter of our 10% internal growth with the remainder coming from a combination of new contracts and expansion on numerous smaller existing contracts. Revenue mix by contract type was effectively unchanged. Labor-related revenues comprised 60% of total revenues and revenue growth was essentially split between growth in our labor base and growth in materials and subcontractor revenue elements. Operating profits came in at 7.3% of revenue, which was consistent with our first quarter results but down 50 basis points from our second quarter of last year. The reduction was due primarily to lower year-over-year shipments of our more profitable VACIS border, port, and mobile security products and higher SG&A expense driven by non-recurring charges for litigation and restructuring. Our schedule for VACIS deliveries is essentially settled for the year. We expect to ship about 20% more this year over last year in total. Because the deliveries are more weighted to the second half of the year compared to last year, this becomes a primary contributor to higher expected margins over Q3 and Q4 and I will describe that a little bit more later on. Part of the increased SG&A expense was foreseen last quarter when we announced that we would be incurring charges in the second quarter to improve our cost structure in our commercial business. That did occur as planned. We took over $2.0 million in severance and other related charges in the quarter and at the same time we narrowed our commercial business focus to fewer market areas. Despite the charges, the commercial business improved margins to just above 6% for the quarter and we have higher expectations, as Ken mentioned, going forward. We also incurred about $1.0 million of severance and related charges during the quarter in connection with the decision to move the initial compliment of services that Ken mentioned with respect to our new shared services center in Tennessee. On the government segment side we took an unplanned litigation charge of $6.0 million from the NRC case. The charge represents the maximum damages that can be awarded to the government pending the formal entry of judgment, which is expected to occur in our third quarter, i.e. shortly. Given the unallowable and mostly non-tax deductible nature of the charge, the consequences to our second quarter results were quite significant. Operating margin was adversely affected by roughly 20 basis points, our effective tax rate notched slightly about 40%, and diluted earnings per share was adversely affected by about $0.015. Finishing up the operating margin area, our SG&A expense, as planned, continues to reflect investments for future growth. In the second quarter bid and proposal costs rose $6.0 million, up about 20% from last quarter and IR&D, internal research and development, costs rose $4.0 million, up about 50% from last quarter. We also continue to invest in modernizing our IT infrastructure with our next group of business units making the conversion to our new financial systems platform next week. In terms of non-operating items, all pretty much went as planned in the quarter, with interest income down on a full quarter’s worth of lower rates and lower cash balances and interest expense slightly up due to more days in the period. Other income normalized back down to $3.0 million from an unusually high result we had in our first quarter. Diluted earnings per share from continuing operations came in at $0.26 per share. That’s up 8% from the same quarter last year on a diluted share count of 403 million shares. Concerning cash flows and liquidity, we had success in billing, collecting and working through some problem areas that we had been experiencing, generating roughly $230.0 million of operating cash flow. We resolved our primary internal issues but continued to be inversely impacted by the ERP implementation at one of our more significant customer payment offices. We finished the quarter with just shy of $700 million of cash on hand and our previous comments that we’ve made concerning our desired credit rating, our minimum cash balances, our credit capacity, our credit appetite, are unchanged. Now let me wrap up with our look going forward. With strong revenue performance, contract wins, and margin improvement expectations, we do project our fiscal 2009 results from continuing operations to be within our set of long-term financial goals. As a reminder, these are internal growth between 6% and 9%, operating margins up 20 basis points to 30 basis points over last year, earnings per share from continuing operations growing over last year between 11% and 18%. We expect internal growth to slow somewhat in the second half of the year. This is partly due to a more uncertain funding environment starting on October 1, and partly due to flattening in some of our larger growth contracts such as EnRAP, where our communications integration work will start winding down in our fourth quarter. Even with that slow down we expect to be comfortably in our revenue range given the 12% internal growth we’ve experienced in the first half. For operating margins, we project improvement in the second half, primarily from significantly higher margin VACIS shipments, improvement in our commercial operating margins after the cost-reduction efforts that we just undertook, and finally a net favorable swing in indirect rate variances that we historically generate in the second half. The expected performance on revenue growth, operating margin improvement, and share count levels drives our projected EPS growth comfortably within our targeted range. In putting together our forward view we have taken a conservative stance in projecting a ramp up of some of our new programs, such as AITS and Pole Cam, as well as the materials pass-through activity on those contracts, and others, in the second half. It is certainly possible that the new programs contribute more as the government rushes equipment purchases for the end of its fiscal year in September, and if the funding environment permits continued equipment purchased by the government during our fourth quarter. If so, we could exceed the top end of our revenue range, which could put some pressure on the operating margin expansion goal but would be in that favorable to-earnings-per-share. Finally, we expect our operating cash flow to be consistent with the model we discussed at the beginning of the year. This model takes net income, adds back depreciation and amortization, and adjusts for special items planned for the year. This year’s planned items are an extra payroll cycle due to calendar timing of roughly $125.0 million payment on the final day of the fiscal year that we discussed before. So that’s an outflow of $125.0 million, but an inflow of $75.0 million from a planned three days reduction in days sales outstanding. So those things together net a minus $50.0 million from the net affect of the special items, starting with net income and adding back depreciation and amortization, as I said earlier. That’s the cash model for the year and we’re tracking well in accordance with plan. It’s just all in our DSO numbers. That wraps up my financial discussion. I’ll turn it back over to Ken for his closing remarks.
Kenneth C. Dahlberg: In summary and from the statistics that Mark has shown, our business is strong. Our contract execution continues to be excellent. And that’s leading to good financial results and our ability to win new business and capture market share. If you want to learn more about what’s driving our performance, I urge you to join our management team at our upcoming institutional investor conference on October 14 and 15 in McLean, Virginia. We welcome attendees, both in person and via the Web, through a top-to-bottom review of the businesses with a focus on some of our key new business campaigns. Space is limited so if you’re interested in attending the event, please contact Stuart Davis. We’re ready to take questions.
Operator: (Operator Instructions) Your first question comes from Laura Lederman - William Blair.
Laura Lederman - William Blair & Company: If you look at the $0.015 that the NRC led to, what is the total amount of charges? If you include the movement of people and all of the unusual items in the quarter, so we can have a sense of what the business profitability would have been without all the different charges in the period.
Mark W. Sopp: Laura, in my mind, we had, as I said, $6.0 million for NRC, which was unexpected. We also had non-recurring severance charges of $3.0 million in the quarter. B&P and IR&D move up and down. B&P was pretty high but I would not consider that non-recurring, of course, it’s somewhat cyclical so I would stick to the $9.0 million, comprised of the $6.0 million NRC and the $3.0 million of severance to adjust out if you chose to do so.
Laura Lederman - William Blair & Company: You also talked a little bit about the churn plans, the voluntary turn over of 13% is great but I also had heard that you guys were looking to go down to 12%. Is that still sort of your goal for this year? And one final question, which was acquisition pricing. How are the levels out there versus last quarter and a year ago?
Kenneth C. Dahlberg: I’ll take the voluntary-involuntary attrition. Certainly, yes, we have established a pretty significant goal to reduce year-over-year our attrition by 1.5%. And while we’re halfway through the year, we’re seeing a good positive trend downwards and our employee engagement activities, I think, are really working. And frankly, there’s nothing like winning and growing the business with the kind of work that we’re doing to keep people really excited about working at a company like Science Applications International. So I think it’s a stretch goal, but one that still looks like it’s in the art of the attainable at this point.
Laura Lederman - William Blair & Company: And the acquisition pricing. And while I still have you, why not follow up on the Dell Tech and how that’s going in terms of getting it up and running?
Kenneth C. Dahlberg: Dell Tech continues to progress well, as Mark mentioned, we’re doing our next wave, wave one, next week. Mark and I were just talking about it before the call. He’s very bullish about the preparation that the business units, some half a dozen, have made to transition off of Legacy to Cost Point Dell Tech. So we’re positive about that. Acquisition premiums, if you’re talking about the 40% premium that SI International got from Serco; Wow! Exciting times. We’re still actively involved in looking for acquisitions that have real strategic merit for us. Our pipeline of potential acquisitions is still looking good and we’re engaged in dialogue that I can’t really talk about.
Operator: Your next question comes from Jason Kupferberg - UBS.
Jason Kupferberg - UBS Securities: So on EPS for the year, I guess year-to-date you guys are up about 21% year-over-year, if I’m not mistaken. Obviously you’re keeping your guidance at 11% to 18%. And I understand that you would have some conservatism, especially looking ahead to your fiscal fourth quarter, but is it fair to say that the high end of 11% to 18% is now a lot more likely, just given where you are year-to-date? Or should we not make that conclusion because it’s simply premature given some of the funding uncertainties around the CR?
Kenneth C. Dahlberg: Our approach is to stick with our guidance and let the numbers and our results reflect where we might be in that range. That’s more up to you to determine.
Jason Kupferberg - UBS Securities: In terms of some of the real estate actions that you made reference to, can you give us a sense, in terms of potential proceeds or cost savings that might yield from this program?
Mark W. Sopp: Some of the facilities that we mentioned in Ken’s remarks are currently not occupied but some are and we certainly expect to pick up efficiencies under the Project Alignment umbrella by having greater density with our folks, both on the East Coast and out here in San Diego. So that’s part of our overall margin improvement and Project Alignment plan that is long-term in nature that we’ve talked about. We, just like most non-operating items, we don’t have any projections for gains or losses on sales of real estate baked into our guidance. As I think you know, in general, we are positioned well on our real estate from a cost versus fair market value, but we’re not counting on any up tick from selling at gains as part of meeting our financial objectives. So hard to predict when such sales can take place and at what prices so we’ll just let those fall out as they occur.
Jason Kupferberg - UBS Securities: Just so we understand what you’re saying is that this is all part of your ongoing 20 basis points to 30 basis points of annual improvement. We shouldn’t think of this as something incremental on top of what’s already going on with Project Alignment?
Mark W. Sopp: I think our margin improvement plan was articulated before Project Alignment existed. Project Alignment does include a more aggressive approach to our facilities management and we’re doing Project Alignment in order to be more competitive in the market place on several fronts.
Jason Kupferberg - UBS Securities: Can you tell us the mix of new versus renewal bookings in the quarter?
Stuart Davis: If you look at the very strictest definition of what’s a re-compete, almost nothing was re-compete business. That is it’s all new. But when you look at really what’s the same kind of work done for the same kind of customer, that’s really kind of an extension of what you’re doing, it’s, again, more rich in terms of new business but there is a reasonable of recurring business. As an example, the large Intel job that Ken mentioned, it’s a new contract vehicle so it’s not a re-compete in any sense but it’s really employing the same kind of people doing the same kind of things.
Jason Kupferberg - UBS Securities: And maintaining a similar revenue run rate?
Stuart Davis: Right.
Mark W. Sopp: I might add, I’m sure we’re going to be asked this question, our re-compete win rate continues to be high. It was 90% for the quarter versus dollars and 93% versus the number of wins. So we’re continuing to hit the ball out of the park with regard to re-competes.
Operator: Your next question comes from Cai von Rumohr - Cowen and Company.
Cai von Rumohr - Cowen and Company: VACIS, you mentioned second half should be stronger than the first half. Could you give us some color on how many you shipped in the first half and about how many you might do in the second half.
Mark W. Sopp: Ten in the first half, and we have schedule 42 in the second half. And to give you a comparison for last year, our second half this year has about 15 more units in it than the second half of last year.
Cai von Rumohr - Cowen and Company: And of the 90, what should we expect in terms of a capture rate? Are some of those high probability? Does this all imply good probability of strong growth in this business next year?
Kenneth C. Dahlberg: Well, certainly it’s good opportunities. Of the 90 units we have roughly 35 that could be international. And that’s in Brazil. We’re right now submitting a bid there. And the others are the military mobile units which could be upwards to 50. So our chances are probably better domestically than internationally but we’re going to swing the bat and see what we can do in Brazil.
Cai von Rumohr - Cowen and Company: And cash flow. I think the Telcordia, my understanding was that you might have to pay $25.0 million or so in the second half and could you give us some color on maybe a range on what you might get in cash from the real estate actions?
Mark W. Sopp: Let me clarify, Cai, that we expect to cut a check for about $35.0 million with interest to the IRS when we settle our tax year 2006. That we expect to occur in the second half of the year and that will show up geographically in cash flows from discontinued operations so it has no affect on the model I talked about in my earlier remarks and our guidance for operating cash flow. With respect to real estate, we prefer to not disclose what prices are associated with specific pieces of property because we’re in negotiations.
Cai von Rumohr - Cowen and Company: You bought a little more stock than I had guessed, 8 million shares, again 150. I think you had kind of cautioned going into the quarter that you wanted to keep a cash balance of over $500.0 million. Looks like cash flow might now be quite as robust in the second half. How should we think about your stock repurchase plans for the second half?
Mark W. Sopp: First I would say our cash flow is pretty robust in the second half. It’s about the same as the second quarter, we’ll do about that same amount for the rest of the year, roughly speaking. So we do expect strong cash flow for the year. We do uphold the principal of keeping at least $500.0 million of cash on hand. So that’s a regulator. And we continue to meet quarterly on our repurchase strategy with our Board of Directors.
Kenneth C. Dahlberg: And as you recall, that’s kind of the third priority. First is to invest in driving organic growth, which is paying handsome rewards to date. Second is strategic acquisitions, and then to acquire when we feel the price is right.
Operator: Your next question comes from Ed Caso - Wachovia Securities.
Edward Caso - Wachovia Securities: What percent of revenue was from commercial?
Mark W. Sopp: 5%, Ed.
Edward Caso - Wachovia Securities: Any major re-competes that we should be watching in the next sort of through the end of FY10?
Kenneth C. Dahlberg: The major re-competes for FY09 are about a half a dozen. We have an SPOC 2 award that’s expected in September for about $500.0 million. We have a C COMR2 award, which is a multiple IDIQ award, in December for about $0.75 billion. They’re the really high nails. The rest are in the order of under $200.0 million.
Stuart Davis: Then when you go out a little further that’s when you run into united and then a little later on the re-compete, which are the big, big, ticket items.
Edward Caso - Wachovia Securities: New Orleans, any issues in that part of the world given the recent storm?
Kenneth C. Dahlberg: Well, certainly our Entergy customers seem to have fared better this time with Gustaf. On a personal note we had 800-900 people in the affected area and so far, knock on wood, every thing seems to be okay but we’re still assessing property damage.
Operator: Your next question comes from Analyst for Joseph Nadol - JP Morgan.
Analyst for Joseph Nadol - JP Morgan: I just wanted to ask a quick question about margins. With the charge related to the NRC in this quarter and the commercial severance actions sort of depressing the margins. Does that mean that there’s room for maybe more than the 20 basis points-30 basis points of margin expansion when we look to next year?
Mark W. Sopp: Well, we’re confident in our recovery for the rest of this year for the reasons I set forth. Next year will depend on our mix, our product mix in particular. We do expect to continue to be more efficient in the SG&A area over time and we expect our commercial to get recovered and stay recovered. I think it’s possible to have some up side to those numbers but that’s not part of our base plan. We’re sticking to our 20 basis points-30 basis points as we set out to do and if there’s any change to that we’ll comment in our December conference call when we provide our first fiscal 2010 guidance.
Analyst for Joseph Nadol - JP Morgan: Are there sort of ongoing, I know that some of the severance costs this quarter were not associated with the commercial actions but more with Project Alignment. Are there sort of sustained costs associated with Project Alignment, and if so can you give us sort of the ballpark of what they are per quarter, or it will vary by quarter?
Mark W. Sopp: Our general model with Project Alignment is that our investment will be offset, or more than offset, by savings generated in the program. So this quarter was only about $1.0 million. And we might have had some smaller savings buried in the operations from some of the things we’ve done under Project Alignment, but generally speaking, it should pay for itself going forward and we don’t expect, at this point, and we’ll provide quarterly updates to this, any real clumpy charges on the horizon.
Analyst for Joseph Nadol - JP Morgan: Is it correct to assume that the EnRAP revenue this quarter was about $85.0 million and if so, over what period of time, I know the ramp down you said would start in Q4, sort of over what period of time do you expect that to ramp down?
Kenneth C. Dahlberg: Well, it really starts ramping down in the fourth quarter and we will eventually go to zero pretty quick, as the vehicles get integrated with the COMS equipment and we ship it to Kuwait for disposition in Iraq and Afghanistan. Now, that’s the vehicle side. We do have the logistics piece, which we won sometime ago, which will continue and if we win the re-compete that will give us sustainable revenue going forward of about $100.0+ million. On an annual basis, not on a quarter basis.
Mark W. Sopp: And just to correct the quarterly amount, we have two programs, they together are $55.0 million to $60.0 million per quarter in the second quarter.
Operator: Your next question comes from Dhruv Chopra with Morgan Stanley.
Dhruv Chopra – Morgan Stanley: I was wondering if, Ken, you could speak a little bit about the commercial business. What types of actions did you take? How are you going to compete more effectively with some of the off-shore providers? And what’s the long-term strategy for the commercial business?
Kenneth C. Dahlberg: And it has caused us, because of the down turn in business with some of our core customers, like BP and Scottish Power, to re-invigorate our thought process around the strategy. And really what we’ve reconciled is we really want to move up what I would call the noble work business and not get into the fray of being commoditized in the pure IT services outsourcing. That historically has been a good business for our company, but again, we’ve got way too many competitors and the international implication, India, China, you name it, suggests that this is going to be pressure on margins and become a much, much lower margin business. Having said that, we have a wonderful science-based consulting business in oil and gas, in utilities, in life sciences, and even in the public service sector, that we are investing in, really trying to develop more and more opportunities. So we basically realigned our SG&A to focus on those markets and to continue to serve our key customers in the IT outsourcing but to not to pursue that as vigorously as we have done in the past. So it’s still a business that I like; it should come back to margins that are as good, if not better, than our government segment and we are still recognized in those four market segments as being very, very good domain experts and thought leaders. And we want to continue in that vein.
Dhruv Chopra – Morgan Stanley: Just to clarify, can you provide some color on the split between how much IT work you do versus some of the more noble-type work?
Kenneth C. Dahlberg: No.
Operator: Your next question comes from Joseph Vafi - Jefferies & Company.
Joseph Vafi - Jefferies & Company: I was wondering if we could talk, we’re sitting here in early September, the end of the government’s fiscal year and Mark, you said you were a little bit conservative on some of the new project ramps or the new contract ramps. What are you seeing out there in terms of budget flush share at this point at the end of the fiscal year?
Mark W. Sopp: We’re seeing a strong funding environment but we personally haven’t seen a glut of material equipment buys thus far. We still have a full month to go here in September but it’s been pretty much business as usual through the summer as far as we can see.
Kenneth C. Dahlberg: I would just add, the adjudication process just seems to be a little bit slower. And that doesn’t cause us alarm but if they really want to get these things funded, they only have the better part of a month to get things done. So hopefully we’ll see a little more heightened activity and that’s why we’re somewhat bullish if that portends then we might have a very strong third quarter. But Marks’ right, we want to be vigilant and conservative going forward because we just don’t know the unknown unknowns.
Joseph Vafi - Jefferies & Company: Mark, you’re saying that you’re seeing a good funding environment but at the same time I think Ken just said that there’s some slow down or there’s some delays in the funding.
Kenneth C. Dahlberg: In decisions.
Joseph Vafi - Jefferies & Company: And the funding is actual live awarded funds for existing contract vehicles then?
Mark W. Sopp: And the funding of new awards once they’re decided.
Joseph Vafi - Jefferies & Company: On VACIS, I know obviously the second half is going to be bigger than the first half but do you have visibility how the quarters in the second half will play out there?
Mark W. Sopp: We have a shipment schedule that is firm. We have had pretty high predictability of that in the past and so we’re confident that our team will deliver in accordance with that schedule and deliver the 40 units or so in the second half and that’s the basis of our forecast.
Joseph Vafi - Jefferies & Company: So we’re not really sure yet if we’re going to see more revenue in Q3 or Q4 from those.
Mark W. Sopp: Again, our projections are based on that shipment schedule to the extent that there are new orders received, the lead time is a significant but not effect until next fiscal year.
Joseph Vafi - Jefferies & Company: On this conflict of interest issues, obviously this is pretty old and coming up now. Is there anything else we should be aware of or that might be out there from a conflict point of view that is something that you’re working on or being having to address with the government at this point?
Kenneth C. Dahlberg: With the government?
Joseph Vafi - Jefferies & Company: I mean similar cases or something to that effect.
Kenneth C. Dahlberg: I think lots of companies have similar issues to this. I think there’s just a growing awareness that the firewalls that traditionally allowed companies to do front-end work as well as get into the development are now perhaps being scrutinized by Congress, et al, and viewed as something they might want to change. If they don’t change, our business doesn’t change whatsoever. If they do change, perhaps we have a little bit more up side because of the platform independence that I stated in my opening remarks.
Operator: Your next question comes from Bill Loomis - Stifel, Nicolaus.
William Loomis - Stifel, Nicolaus & Company: Just looking at the VACIS systems, of the 90 that you expect to be decided on in the next three months, you mentioned that roughly 50 were the military mobile VACIS and then the 35 which you said were primarily Brazil. Was that the IP6500?
Kenneth C. Dahlberg: It’s a combination. Brazil is looking for some fixed sites as well as mobile. So the 35 actually are comprised of three different variances of our detection products. And, as I mentioned, we’re going to swing the bat and see if we can win one, two, or all three. All three would net us actually 37. Highly unlikely but the opportunity is there. I like it in that it’s really penetrating the international market. If we win some here, we’ve got five units that Dubai Customs has ordered, that gives us a good footprint to expand internationally.
William Loomis - Stifel, Nicolaus & Company: And just following up on the Dubai five. Obviously there are some very big ports in the Middle East. Do you see additional sales to the Middle East or are these basically, if you will, are they testing them with an eye to a much greater number down the road?
Kenneth C. Dahlberg: I think we have found that Dubai is a much more forward-leaning country and once more, advanced state of the art, especially in their port security. So I would anticipate, especially in that area, that there will be a lot of interest once we have those up and operational and people see that we don’t impede commerce and we actually can provide a lot more security at a relatively low cost.
William Loomis - Stifel, Nicolaus & Company: And just going to the Pole Cam and the Michelin Tire contract. What was the revenue contribution? Was there any in the quarter and what do you see for the year on those logistics programs?
Mark W. Sopp: Bill, Pole Cam has shifted to the right. I earlier advised that the revenue estimates for this year would be $50.0 million to $75.0 million. We’re looking at about $25.0ish million if things go well from this point forward. And there was negligible revenue year-to-date, including the second quarter, of course. So that, we’ll just keep you posted on. Conversely, things are going well for tires. The team has done a remarkable job. We’re delivering double-digit operating profit or contract fees on that opportunity. The revenue’s not that big but the contribution to economic profit and margins is very healthy.
William Loomis - Stifel, Nicolaus & Company: Okay, how you’re accounting for the Michelin Tire contract, the assets, the tires are now passing through. You’re just capturing the fee in revenue and that’s why it’s high margin?
Mark W. Sopp: Essentially.
William Loomis - Stifel, Nicolaus & Company: Is that the same way Pole Cam is going to work for you?
Mark W. Sopp: No, Pole Cam we will have pass throughs, so higher revenue, lower fee.
Operator: Your next question comes from George Shapiro - Citigroup.
George Shapiro - Citigroup : If I look at your guidance of revenue growth, even at the high end of 9%, given what you’ve done in the first half implies only about 6% growth in the second half. Now, would that be more in the third quarter and less in the fourth? Because in the fourth you’ve got the tougher comparison on EnRAP?
Mark W. Sopp: The effect would be in the fourth quarter. We typically have a pretty strong third quarter and our measures of conservatism concerning the funding environment, as well as the EnRAP wind down, as well as the slower ramp potentially on new programs, is attributed to the fourth quarter. In addition to the higher comparative prior year that you mentioned.
George Shapiro - Citigroup : And on the other side, on the margins, to kind of get your 20 basis points-30 basis points improvement, you’ve got to average a little over 8% in the third and fourth quarter. Traditionally your third quarter has been much stronger. Will that be the same this year or will both quarter be over 8%?
Mark W. Sopp: We don’t want to say too much about individual quarters but obviously we do have to run above 8%. We’re confident in doing so. I would say that in the four metrics we have revenue earnings per share, cash flow, and operating margins. The margin one will be the toughest one for us to achieve, given where we are. But we have a road map for the elements that I laid out earlier and pending no surprises and pending our delivery of the product shipments as well as our normal, more favorable labor utilization and our turn around in the commercial, we’ll make it. But I don’t want to point it heavily to one quarter or the other in Q3 or Q4. I’ve got to be strong in both.
George Shapiro - Citigroup : I guess in general, I mean it certainly looked like the bias would be that you might do a little better on revenues and a little worse on margin, but you’re not changing your guidance to reflect that at all.
Kenneth C. Dahlberg: We believe, looking at our plan going forward, that we still can fall within the guidance that we gave. 20 basis points-30 basis points, 6% to 9%, 11% to 18% EPS.
Operator: Your next question comes from Erik Olbeter - Pacific Crest.
Erik Olbeter – Pacific Crest Securities: Mark, you had mentioned earlier that you were hoping to bid on a couple of large opportunities in the Intel community and also you discussed possibly needing to increase your R&D expenditures, have you seen those RFPs or RFIs start to come out? Are you still confident that by the end of your fiscal year you could see possibly bidding on a couple of big opportunities? And what should we expect in terms of R&D?
Mark W. Sopp: I’ll cover part of the question. Ken may want to comment on the larger initiative. But as you might have picked up in Ken’s remarks, we did win a cyber-related procurement in the intelligence arena, significantly north of $100.0 million in the second quarter. We’re really pleased with that. Ken talked a lot about it. Above that, but certainly off to a good start there. I did mention our R&D investments up-ticked quite a bit in the second quarter. We generally expect to run at that pace or slightly above that pace for the rest of the year. Part of that investment clearly is going to our cyber initiative, which we think is a huge opportunity for us, so it’s getting a lot of focus in terms of our science and technology community. That’s focused in our intelligence group and so far they’re off to a great start.
Kenneth C. Dahlberg: I think Mark hit it. We’re getting ourselves well positioned to exploit every opportunity that meets our company’s competencies in the cyber area. We have a couple of outstanding bids, one of which we just won, the cyber security opportunity that was north of $150.0 million and so I’m pleased with where we are. You know, the conundrum on the IR&D on the first half is we were bidding so many opportunities that we really prescriptively slowed down IR&D so that we could put the talent that we needed on those opportunities. And that’s really starting to pay off. Typically, third quarter, fourth quarter, we start seeing the RFPs slow down and we’ll regroup and continue to invest in R&D programs.
Operator: Your last question comes from Timothy Quillin - Stephens, Inc.
Timothy Quillin – Stephens, Inc. : I think this has been asked a couple of different ways but I was just hoping you could put some meat on the bones of Project Alignment in terms of what it means or how we can quantify that potential, you know, incremental savings on top of the 20 basis points to 30 basis points, both on facilities management and shared services.
Mark W. Sopp: I’ll try again. We articulated our margin improvement program a long time ago and all of those elements are still intact, a combination of improving fee, improving mix, and taking cost structure out, mostly from IT modernization efforts. Project Alignment was designed and continues to be designed to generate $100.0 million per year out of our cost structure, which we want to preserve the option of adjusting our pricing structure in the market place, reinvesting in our people, spending more in business development, spending more in IR&D, etc. So we are gearing that savings to reinvest into the business and we’re not directionally intending to drop that to the bottom line, although it’s certainly possible that some of that occurs. But it’s not a part of our EPS growth story that we articulated in our IPO and since then.
Kenneth C. Dahlberg: Having said that, if you lowered your infrastructure cost by $100.0 million and continued to grow top line, incremental margin will expand, which has a positive impact. I think that’s all we have time for today. On behalf of the team here I really want to thank you for your interest in the company and feel free to give us a call over the next couple of weeks and again, hope to see many of you in October.